Operator: Good day, everyone, and welcome to AMSC's Third Quarter 2016 Earnings Conference Call. This call is being recorded. [Operator Instructions].
 With us on this call this morning are AMSC President and CEO, Daniel McGahn; Executive Vice President and CFO, David Henry; and Manager of AMSC Investor Relations, Brion Tanous.
 For opening remarks, I would like to turn the call over to Brion Tanous. Please go ahead, sir. 
Brion Tanous: Thank you, Katherine, and welcome to our call to discuss our third quarter of fiscal 2016 results. 
 Before we begin, I would like to note that various remarks management may make on this conference call about AMSC's future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by such forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our annual report on Form 10-K for the year ended March 31, 2016, which we filed with the SEC on May 31, 2016, and subsequent reports that we have filed with the SEC. These forward-looking statements represent our expectations only as of today and should not be relied upon as representing our views as of any date subsequent to today.  While AMSC anticipates that subsequent events and developments may cause the company's views to change, we specifically disclaim any obligation to update these forward-looking statements.
 I also would like to note that we will be referring on today's call to non-GAAP net loss or net loss before stock-based compensation, amortization of acquisition-related intangibles, consumption of 0-cost-basis inventory, change in fair value of derivatives and warrants, noncash interest expense and other unusual charges, net of any tax effects related to these items. Non-GAAP net loss is a non-GAAP financial metric. A reconciliation of our non-GAAP to GAAP net loss can be found in the press release we issued and filed with the SEC this morning on Form 8-K.
 All of our press releases and SEC filings can be accessed from the Investors page of our website at www.amsc.com. 
 And now I will turn the call over to CEO, Dan McGahn. 
Daniel McGahn: Thanks, Brion, and good morning, everyone. I don't know if you were able to see the Super Bowl last night. I have to say that I related a lot to the emotions of that game. I think a lot of our long-term investors can relate as well. It really had a lot of parallels to our business here at American Superconductor. We were once written off in our first quarter, at halftime and it felt like for more than 3 quarters. What you will hear today is years in the making. 
 I am very proud of the people that I work with, the people that I work for. I am so grateful that our company has responded so well. I'll begin today by providing an overview of our financial results for the third quarter of fiscal 2016, which ended December 31, 2016. Dave will then provide a detailed review of our financial results and guidance for the fourth fiscal quarter, which will end March 31, 2017. Following Dave's comments, we will provide an overview of our activities and future expectations. After that, we'll open up the line to your questions. 
 Third quarter revenues came in above our expectations. In our Wind segment, ECS shipments to Inox were very strong during the third quarter, improved from both the first and second quarters of this fiscal year. We expected Inox to move to higher levels of turbine production in the second half of this fiscal year and that is exactly what we're seeing from our largest customer. We expect strong ECS shipments to Inox to continue in the fourth quarter of fiscal 2016. In addition, our Gridtec segment continues to have its sights set on growth. Our Grid business has grown year-over-year for the past 8 quarters. In case anyone missed it, the business is growing independent of Inox. 
 We advanced our Gridtec initiatives related to our Resilient Electric Grid, or REG product, in Chicago, while our work with the U.S. Navy on Ship Protection Systems advanced on a number of fronts, which I will discuss later on this call. We introduced these 2 new products over the past 2 years. I could not be happier with the market response we have seen. We clearly have solutions that are unique and necessary. 
 Last week, at the DistribuTECH utility industry conference in San Diego, we announced our third new product in 3 years, D-VAR VVO, to 11,000 people from the utility industry, a new product that expands our D-VAR product line from transmission to distribution and more than doubles the available market for our FACTS products. Our aim is to diversify our revenue base, and we have been focusing on making this happen. 
 I'll now turn the call over to Dave to review our financial results for the third quarter of fiscal 2016 and guidance for the fourth fiscal quarter, which will end March 31, 2017.  This was a great quarter for us. Dave? 
David Henry: Thanks, Dan, and good morning, everyone. AMSC generated revenues of $27.1 million for the third fiscal quarter compared to $25.8 million in the year ago quarter. Both our Wind and Grid segments generated higher year-over-year revenues during the period. In our Wind segment, demand from Inox for our ECS increased sequentially consistent with what is now typical seasonality. We expect ECS revenue from Inox to be strong in the fourth quarter as well. Wind segment revenues represented 67% of total revenues for the third quarter of fiscal 2016. Grid segment revenues for the third fiscal quarter increased 4% year-over-year, primarily as a result of BASF project revenues in the current year period. 12-month backlog at December 31, 2016, was approximately $75 million, compared with the 12-month backlog of $86 million at September 30, 2016. The majority of our 12-month backlog is for Inox, which is denominated in euro and was negatively impacted by the stronger dollar in the third quarter. 
 Looking at the P&L in more detail, gross margin for the third fiscal quarter was 18.6%, which compares with 25.3% in the third quarter of fiscal 2015 and 11.4% in the previous quarter. The year-over-year decrease in gross margin in the third quarter was primarily due to less previously written off inventory consumed as we have already consumed the highest volume items as well as an unfavorable revenue mix including royalty revenues recorded in the prior year period. 
 R&D and SG&A expenses for the third quarter were $9.1 million. This was down from $9.8 million for the same period a year ago, primarily driven by lower SG&A expenses. Approximately 13% of this R&D and SG&A spending in the third fiscal quarter was noncash. 
 Below operating loss, in the third quarter, we received the final payment associated with the sale of our investment in Tres Amigas. As a result, we recorded a gain of $325,000 in the third quarter. 
 Other income was approximately $900,000 in the third quarter of fiscal 2016 due primarily to foreign currency translation gains and subsidiaries with net U.S. dollar assets in the functional currency denominated in euro. 
 Our net loss in the third quarter of fiscal 2016 was $2.8 million or $0.20 per share. This compares to $3 million or $0.22 per share in the year ago quarter. Our non-GAAP net loss for the third quarter of fiscal 2016 was $2.9 million or $0.21 per share, which was improved compared with $4.9 million or $0.36 per share in the year ago quarter. Please see our press release issued this morning for a reconciliation of GAAP to non-GAAP results. 
 We ended the third fiscal quarter with $26 million in cash, cash equivalents and restricted cash. This compares with $26.6 million as of September 30, 2016, and represents a cash burn of $600,000 for the third fiscal quarter. The minimal cash burn during the quarter was in line with our previous guidance. 
 As of December 31, 2016, the principal balance of our debt arrangements, excluding the debt discount, was $1.5 million compared to $2.1 million as of September 30, 2016. The debt represents 1 remaining term loan with Hercules Technology Growth Capital. Our term loan B matured and was paid in full during the third quarter. We are paying interest only on a monthly basis until maturity on June 1, 2017, when the entire outstanding amount will be repaid in full. 
 Let me turn to the at-the-market issuance or ATM facility that we announced on January 27. 
 Since the last stock offering in April 2015, Dan and I have been asked numerous times whether we intended to raise additional capital. Our answer has always been that any additional capital that we raise would be for growth, not liquidity. This is precisely why we put this ATM in place. Proceeds raised from this facility, if any, are expected to fund growth initiatives in our Grid segment, including new product development activities and a collateralized performance bonds on future customer contracts. 
 We are working today on new product development activities in our Grid segment that are in varying stages of completion. Last week, we announced one of those new products, D-VAR VVO. In addition, we are in discussions with customers today on potential contracts that are expected to require us to guarantee our performance with either a letter of credit or a performance bond. 
 Currently, banks require us to provide 100% cash collateral against any trade letter of credit. Assurity would require the same for a performance bond. By the way, the customer discussions we were referring to are for sales of products that are not part of our baseline revenue today. In other words, incremental revenue. And incremental revenue that helps to diversify our business so that we are less dependent on a single customer. 
 Turning to our financial guidance. As I mentioned earlier, we expect strong ECS shipments to Inox to continue in the fourth quarter. However, we had a large D-VAR sale in the third quarter that we don't expect to recur in the fourth quarter. As a result, we expect slightly lower revenue in the fourth quarter compared to the third quarter. We expect that our revenues in the fourth quarter will be in the range of $22 million to $26 million, but with a higher gross margin compared to the third quarter. In addition, we expect a modest increase in operating expenses in the fourth quarter due to higher product development spending. Our net loss for the fourth quarter of fiscal 2016 is expected to be less than $5.5 million or $0.39 per share. This assumes the foreign currency gain in the third quarter does not recur and it assumes no mark-to-market gains or losses on our warrants. Our non-GAAP net loss is expected to be less than $5 million or $0.36 per share. We also expect a minimal cash burn of less than $2 million in the fourth quarter, which excludes proceeds, if any, from the ATM. 
 With that, I'll turn the call back over to Dan. 
Daniel McGahn: Thanks, Dave. Let me start with an update on our activities within our Windtec business unit. 
 Through our Windtec Solutions, we provide our wind turbine licensees with fully integrated Electrical Control Systems or ECS. By using our integrated Electrical Control Systems, we believe our customers' wind turbines provide higher availability, reliability and optimized energy output for their customers.
 Our primary market for our Wind products today is India. India is a major player in the global wind energy market and ranks fourth in the world in cumulative [ph]  installations, according to industry analysts. The total installed capacity of Wind energy projects in India was nearly 30 gigawatts as of the end of calendar 2016.  The Indian government has announced an impressive target of having 60 gigawatts of wind energy capacity installed by 2022, which is more than double the existing installed capacity.
 We service this market segment through our partner, Inox Wind. Shipments of our 2-megawatt Electrical Control Systems were strong in the third quarter, consistent with typical seasonality. And as I mentioned earlier, we expect strong ECS shipments in the fourth quarter. We are fully committed and prepared to support Inox's product road map for the future, while continuing with the supply of 2-megawatt ECS units. Inox is currently focused on the rollout of a new 113-meter rotor variant of its 2-megawatt turbine, which was designed by AMSC, and looks to be quickly gaining market acceptance. That is good for us because we are entitled to a royalty on sales of these Wind turbines. We also expect to collaborate on Inox's next-generation Wind turbine, which we believe will be a 3-megawatt design. Inox has been publicly touting this agreement. We had been targeting to enter into a license with Inox for this design by the end of the fiscal year. Ultimately, finalizing the license is dependent upon Inox's needs and priorities. We are prepared to support Inox when they are ready to begin their development efforts on the 3-megawatt.  
 At this point, we now believe that the completion of a 3-megawatt license will occur sometime in fiscal 2017. 
 Let's move on to Gridtec Solutions. D-VAR shipments were strong in the third quarter of fiscal 2016, as we delivered on a large system to a wind farm developer in the United States. One of our objectives for fiscal 2016 is to achieve continued growth of our D-VAR business, and believe we are on track to achieve modest growth in D-VAR revenues in fiscal 2016. The D-VAR product addresses 3 primary end markets: renewable energy, electric utilities and industrial installations like a mine or a semiconductor fab. The majority of our D-VAR revenue today comes from the interconnection of renewable energy generation plants to the electricity grid. As a result of continuing tax incentives in the U.S. and the climate change accord in Paris, the renewable sector should be expected to remain healthy in our targeted geographies while we focus our efforts on developing a strong utility and industrial pipeline for our D-VAR products. Yes, people outside the U.S. still care about the Paris Accord. 
 Our D-VAR shipments in the third quarter were primarily for renewable energy and industrial applications. When we sell a D-VAR to a utility, it is usually to increase reliability on the transmission grid. Last week, we announced a brand-new product targeted to electric utilities for the distribution grid. D-VAR VVO is a new product that is specifically designed to mitigate power  quality issues on the distribution power grid for increased solar capacity, increased penetration of electric vehicles and to support conservation voltage reduction management or CVR. 
 CVR is a technique used by utilities to meet resource adequacy needs and mandated efficiency standards. D-VAR VVO not only manages current power quality concerns, but also expands grid capacity for distributed generation, reacting seamlessly to [indiscernible] or changing wind speeds across the distribution grid. The development of D-VAR VVO was a result of listening to the marketplace and designing a cost-effective solution to a growing problem on distribution grids. We believe that this expansion of our D-VAR product line to the distribution grid more than doubles the available market for our D-VAR offerings. Enabling utilities to stabilize and increase resilience of the evolving modern distribution grid is part of our mission at AMSC. 
 Our Resilient Electric Grid system, or REG, is another solution we are offering utilities to increase resiliency on the distribution grid. We have been working hard to establish a pipeline of projects for our REG products. There are a number of projects and a number of cities that are actively engaged with us to understand how we can solve their specific electric distribution problems. Our goal is to turn these discussions into deployment studies, followed by commercial contracts to deploy our REG systems. Our pipeline of potential REG projects grew in the third quarter. We are working closely with ComEd in Chicago on the size and scope of the next phase and have continued to make good progress on the project. 
 As we mentioned last quarter, based on our discussions, we believe the market in Chicago is bigger than the initial DHS-funded opportunity. We believe ComEd and Exelon are committed to working with us toward implementing our REG solution in Chicago, and we're proud of the relationship we've developed with them. Last quarter, we told you about a utility that was considering 2 separate REG projects. We are excited to see utilities understand REG's value proposition. AMSC has been working with a number of utilities that have expressed interest in better understanding the value of REG solutions on the system by providing deployment studies. As we mentioned last quarter, another U.S. utility has released a request for a proposal for a study to investigate increasing the resiliency of its urban grid in case of a major event. This utility has specifically required the study to include the evaluation of superconductor solutions such as our REG product. 
 So including ComEd, we now have 5 utilities in the U.S. that are actively engaged with AMSC in evaluating our technology to help solve resiliency issues that exist within their cities' electric grids. We believe the commercial viability of our REG product is beginning to be understood by the electric utility marketplace. In all, we are currently tracking activity in over 2 dozen U.S. utilities, and we're working to increase the REG opportunity pipeline, primarily through AMSC's new and growing network of sales representatives. 
 In addition, REG marketing efforts extended outside of North America to Australia and the United Kingdom during the third quarter. As we learn more, we believe that the REG market should expand.  
 We also have our sights set on growth with the U.S. Navy. We have made some very substantial progress with the Navy to date in fiscal 2016. We see 3 areas where our technology can be formatted into products: Ship protection, specifically against mines and minefields; ship power, moving shipboard power in highly efficient, highly energy dense cables; and ship propulsion, especially with the advent of electric weapons, which will create more demand for power from the engine room.
 Our nearest term opportunity is for Ship Protection Systems or SPS. So far this year, we have made substantial progress with a particular Navy program office and a shipyard in an effort to secure a contract for SPS on a specific U.S. Navy vessel platform. We continue to work with the shipyard and the Navy on this vessel platform and will update you on further progress as soon as we have more clarity on the Navy's production schedule for this vessel. 
 Think of this initial SPS product as permanent and persistent. It is a system that is embedded in the ship -- it is a system that is embedded in the ship when the ship is being built. This is typically referred to as a ship degaussing system. We have been developing a second ship protection system product. The effort has been directed by the Navy and funded by the Navy. This second system is deployable. It is a system that can be retrofitted onto an existing ship that is already at sea. This is designed as a deployable magnet payload. This is part of a classified Navy program. We have been working on a beta unit of this deployable system this year. Our current expectation is that we will deliver this beta unit during the first quarter of fiscal 2017. Our marketing efforts for a third and new variant of our SPS product line extended beyond the U.S. Navy to a NATO partner during the third quarter. I hope to speak more about this opportunity in the months ahead. We are not announcing a new SPS product today. We are trying to better understand the opportunity for this new application. 
 The U.S. Navy has made it clear that it expects that superconductor systems will be deployed in the fleet. We believe this will ultimately extend to propulsion systems. During the quarter, we announced, we had been selected for a $4.5 million award from the Department of Energy's Office of Energy Efficiency and Renewable Energy. The award is subject to completion of a contract with them, which is expected to be entered into in the near term. This award is part of DOE's Next Generation Electric Machines Program. Our award is expected to go toward developing process improvements to our wire manufacturing technology, geared specifically toward rotating machines for the fleet. As I said to you last quarter, we have unique system offerings and we have developed system-level understanding, system-level differentiation, and system-level know-how. Our strategy is to deliver system-level value, value beyond the wire. 
 The third quarter of fiscal 2016 showed marked improvement over the second quarter. Our wind business had a very slow start to this fiscal year, but has recovered nicely. We are focused on diversifying our revenues through growing our grid business. We introduced a new addition to our D-VAR product line, D-VAR VVO, which we believe more than doubles the market opportunity for our D-VAR product line. The value proposition of our REG solution is resonating with U.S. utilities and we talked about 5 of those utilities today. Our hard work with the U.S. Navy looks extremely promising. Importantly, we are seeing alignment with the new administration, with talk of new infrastructure spending, including grid infrastructure which could benefit us, as well as building a larger Navy, which certainly should benefit us.  Our strategy of creating value beyond the wire is getting the attention of our target markets. People don't buy technology. They buy what it does. And we are positioned to deliver system-level value. 
 I look forward to reporting back to you at the completion of our fourth fiscal quarter, which will end in March. 
 Katherine, we'll now take questions from the audience. 
Operator: [Operator Instructions] Our first question will come from Philip Shen with Roth Capital Partners. 
Philip Shen: Wanted to dig into the wind business bit. Historically, I believe the HTS wire could be used as turbines get closer to 10 megawatts in size. So I know this may not be a near-term opportunity, but with Vestas I believe unveiling a 9-megawatt offshore turbine, can you update us on what the prospects might be for using your HTS wire in wind turbines and perhaps some timing and so forth? 
Daniel McGahn: Yes, I think General Electric did a paper back a while ago, probably 5, 6, 7 years ago, where they looked at the efficacy of a traditional drive and that really kind of went as high as 6, 7, 8 megawatts. My understanding of the product that Vestas launched is an 8-megawatt. It has the potential to be driven to 9 megawatts in certain conditions. We said prior -- somewhere around the 6, 7, 8-megawatt level is when a superconductor drive starts to have commercial viability. So I think the market trend of going to offshore has been something that we've been looking forward for the wind market to get to. I think the prospect of existing wind turbine manufacturing getting to that 7, 8-megawatt level is promising for our supply chain and we have the technology developed to deliver larger wind turbines than what are on the market today. So we talk a bit, and we focus our company on working with the Navy for its next generation drive. The belief is that, that technology could become the drivetrain for even larger wind turbines as that market evolves. So, Phil, I think you have it right. I think there's a potential expansion of our content that could happen in the future. I think it really depends upon the evolution of the offshore wind market, and getting to these bigger wind turbine sizes. We think that superconductor drive is maybe the only way to break an 8, 9, 10 megawatt limit on wind turbines. And assuming that the rest of the supply chain is developed, that certainly will help our partners, whoever that may be in the future that we would do even larger wind turbines with. We've gone with traditional drive in our designs up to 5, 6 megawatts and we look forward to trying to help the wind industry go further than it is imagining today. 
Philip Shen: Historically, you guys have partnered with folks in Asia, India most recently. To what degree do you think some of the partners for superconductor drive in the wind turbine business could come from the European base or even a company based here in the U.S. And have any of those discussions started at all? 
Daniel McGahn: Yes, I think, the whole market is open for us. I think one of the unique things about large turbines is that we continued to invest in the 2008, 2009 timeframe to get to even larger turbine designs. The strategy at that point may reap benefits in the future, where we may have developed technology already that maybe valuable to existing players, global players in the wind market. So our strategy was to enter the market in Asia, help to be able to deliver current generation technology and then invest to develop next generation technology for the global market. We haven't said those words in years.  I think the market is evolving. I think the market is becoming potentially more right for us to work with an existing player, could be anywhere in the world. I think it really is dependent upon how well that market comes to fruition? How fast that market comes to fruition? But we definitely think that we have something that's unique and necessary to get to very large wind turbines. 
Philip Shen: Great. One question more from me here and then I'll pass it on. As it relates to your performance bonds required for ComEd and other projects, can you give us a sense for the amount of capital that is required? Is there a rule of thumb that's... 
Daniel McGahn: I think we're going to have to be more clear with that as we enter into contracts. So what we're doing is getting in position. We know in our conversations with multiple customers that the types of restrictions that will be placed our cash and we're preparing the company. We want to grow that top line. We want to grow that bottom line. We've put this tool up in place to really demonstrate and show that we have the capacity to get additional capital on the balance sheet. But I think any of those questions, we certainly need to answer and will answer as we announce future contracts. 
Operator: Our next question comes from Colin Rusch with Oppenheimer. 
Colin Rusch: Can you talk a little bit about the pacing of the new product introductions? I'm just trying to get a sense of the cadence on how we should see these things rolling out? And kind of what your bandwidth is to start working on new projects once you've got them out in the marketplace? 
Daniel McGahn: It's a great question and I'm so happy to be talking about this and not talking about challenges in our business. We are clearly trying to position the business to grow. I think you see us announcing REG and announcing SPS, announcing VVO now. We've talked already about a deployable solution for the Navy that's coming. We've talked about power cables for the Navy that's coming. We're working on a variety of products for grid customers. We do have some things in the works on the wind side. What we want to do is, we want to be able to pace the delivery of new products with the market, coupled with our financial ability to invest in these things. So we want to make sure that we are there as some new market start to emerge or our technology may be unique and necessary. But we don't want to go overboard with really trying to ratchet up internal spending. We're not looking to do that at all. So we're going to be very surgical with the shots on goal that we add. I think we're going to be -- we will use VVO as an example. We're going to be very responsible to the risk of the company. So we want to make sure that we're not out announcing a product and putting expectations where we're going to get very big changes in revenue in the next quarters. That's not what we're planning on doing. We're going to spend lightly, we're going to spend tactically and we're going to enter into contracts, particularly on the utilities side, where we mitigate and modulate the risk with our customer. And that may mean that revenue isn't something that comes early in a project, but we want to make sure that what we're delivering works. We want to make sure what we're delivering is unique and necessary to these markets. And we think in the case of VVO, based upon the feedback that we've gotten from San Diego, I think we're going to be able to hit that mark. But I'd say, stay tuned. Over time our hope is that as we get more traction with these new products, and specifically with VVO, the hope and I think your expectation would be to see the tenor and temperament coming from these calls, we're delivering on contracts that demonstrate future growth for the company and that's ultimately what we're after. We want to grow the company through grid. We want to allow Inox to be able to grow and to continue to rely on us as a critical partner for them and those things coupled with an emerging Navy business means very bright prospects for us here, not just for next quarter but for the coming years ahead. 
Colin Rusch: Great. And then just specifically on the grid solutions side, what are you seeing in terms of the change in the pace of the sales cycle? I know you guys have done a lot of spade work and evangelism with a number of customers, and you mentioned the 5 that you're working with actively. But how should we think about the -- not necessarily first contact, but kind of meaningful phone call or conversation to an actual revenue event? 
Daniel McGahn: Let me talk kind of in general what we're doing and then how the market responds, what's happening in the market. So this is a little tangential to what you're asking and then I'll answer directly the question. One of the things we've invested in, and when I say we've invested, we've invested time, not shareholder money, is we've expanded our sales reach into utilities, principally in North America. And we did this by entering into relationships with manufacturers' reps that call on utilities today and have a pretty broad line card of products, but they may or may not have had power quality type offerings or grid resiliency and reliability solutions. 
 So we've expanded the number of sellers that are having conversations with utilities and we've expanded that substantially. And the level of excitement we see at some of these reps, the idea of being able to work on new technology like VVO, or like REG, is really different for them and when I say different, I mean in a positive exciting way, it's not just selling the same old. So that's the way to expand the market. 
 I think internally within the utilities, the market is evolving where more dollars are being spent on the distribution side. We see this change in North America to more residential on utility-scale solar. We see the emergence we think here in the near term of significant penetration of electric vehicles on the grid. We see other distributed generation solutions all the way down to the storage that are changing the way that utilities have to think about their distribution grid. In general, utilities spent most of their brainpower on solving generation and transmission problems. The distribution system, which is what gets us the power to keep our lights on and keep our homes running and our businesses running, really has had the mindset for a very long time of copying what's already been done. The level of investment in new ideas, new engineering, has been relatively low on the distribution side of utilities compared to transmission utilities. We see that fundamentally changing, so a lot of these efforts in making a smarter grid or the edge of the grid have changed the way distribution utilities think, and the way that they spend their resources on engineering resources within the utility. I think that's important and the timing. So we know we see when we think about the D-VAR product line on the transmission side, we see projects where we're doing business development 3, 6, 9, 12 months out. We see overall pipeline we manage looking at that 6 to 12 month window and then beyond that, it's really kind of open on when these projects are going to move forward. So that's what we've seen historically in grid on D-VAR. I think it changes a bit with the distribution grid with VVO. So that may happen potentially faster. You have a product in VVO where the price point is similar to the things that we kind of sell, but more on the lower end of the range, which means that the risk tolerance on the utility is probably higher because the amount of capital they're putting in place to enhance their grid on the distribution side isn't as substantial as the transmission project. So that may mean, still to be seen, and we still have work to do in front of us, but that may mean that these distribution conversations could happen on the same pace as the transmission side or even more quickly. 
 I think in the case of REG, REG starts with a multi-level conversation within the utility. What we're after first and foremost, is to find a compelling need for the solution in the grid today right now. And if the timing of the project is such where they're already putting it in their capital budget, somewhere between the next 2 to 4 years, that allows us to compete for budget dollars that are ostensibly already there. That allows us to compete against other potential solutions and that allows us to bring revenue here in the near term. That's ultimately what we're after on the REG side.  
 When we look at utilities, and we look at the broader market, we see a host of installations in each utility. It doesn't stop at 1, it starts with 1 but then should proliferate over the coming years to we're doing more and more REG with not only more and more utilities, but with the same utilities over and over again. So the REG conversations take about a year to get to the point where we know if there's a project in the near term. And I think saying how long it takes that study work to turn into a commercial order, the fact that we have yet to deliver on 1, I can't tell you definitively the timing, but it seems like that takes at least a year as well. 
 But -- our hope is we want to be able to do as much as we can in parallel, concurrently as we can, because what we're seeing is, utilities aren't talking to us about the adoption of REG. What they're talking to us about are their problems, and REG may be a solution today to solve a problem today. It's a different approach, but we think it's the right approach the way utilities think. We're not seeing utilities struggle with the maturation level of the technology. What we're getting at, I think, financially is, we want to make sure that the business is in financial position to take these orders and that's why Dave and I think the way we do and want to make sure that the company's in the right position to take more and more orders. We want to be able to grow this business as fast as we possibly can. 
Operator: Our next question will come from Carter Driscoll with FBR brokers. 
Carter Driscoll: Just kind of taking a step back and following up on what Colin and Phil were talking about. At a high level, you put the ATM in place because you are positioning for growth capital. You talked about some of the -- obviously just released a new product in VVO. Trying to get a sense of your expectation. If you were to receive a large REG contract, would you have sufficient inventory, working capital on hand to be able to satisfy that? Or would that be -- since it's usually a multi-year process, something that, you think, you could potentially grow into without potentially doing an additional raise? And then I want to talk -- my second part is, I just want to talk about specific kind of product development. Obviously, as I just mentioned, you've just released 1 product. Are future product development focused around those core areas you alluded to, something within the wind segment that we haven't seen a lot of significant product development recently? Is that from potentially lateral expansion to other markets or growing within Inox? And then I just have one more follow-up. So -- sorry, it's a multiple part question. 
Daniel McGahn: Go back to the first part again, Carter? Let me answer that, and then I'll talk about the products. 
Carter Driscoll: So you've put an ATM in place and part of that is for the performance bonds, so the anticipation that you are going to move to the commercial side. But if you... 
Daniel McGahn: [indiscernible] it's anticipation of a certain level of contract and I can't get into the size or the leverage ratio. Dave kind of said it in his prepared remarks where -- we're anticipating having to securitize 100%.  So what we want to do is be able to get established the flow with REG, be able to show utilities that we have access to this capital and we have the ability to be there to be able to deliver the product and deliver on the warranty provisions for the product going forward. We try to look at raising money as very serious. We would only raise money, as Dave and I have said, habitually for growth. We see that here. We see a need for that capital to grow. If there is the need to raise additional capital in the future, we want to be very clear that, that would be only for growth. And we think that's a high-class problem to have. If we get to the point where we have really taken this -- more than 2 dozen prospects for REG and we really see a lineup of large orders, we'll want to be very clear about that. And if that requires more capital, I think that's a good problem for the company to have, but it's not the problem that we have today reporting on the December 2016 results. We see in the near-term contracts that can help revenue and that's why we've used the vehicle that we've chosen to use here. 
 On the grid site, let me just not confuse you a  little bit. Let me start with very clearly. We want to grow the business through grid. Full stop.  Right? And that includes the Navy as part of the grid segment. We will, if we're opportunistic on the wind side, and it might be with Inox, it might be with others, as we get -- if we get something real, we'll announce it. But I say wind because I want you to know it's not that we're not investing in wind, with Inox. It's not that we're not going to be opportunistic about wind opportunities. But we're going to grow this company through grid. Full stop. Our investments need to be tactical and surgical on the grid side. We have a macro trend that's changing on the distribution grid, which we've talked about quite substantially on the call today. We have very unique and necessary technology that could be formatted into products to meet these demands that we think could be done in a sustainable way. We don't want to go overboard and invest or overinvest in future products. We want to make sure that we conserve our cash, I think the good thing coming out of today's call is, the cash numbers look really good quarter-to-quarter between September and December, and Dave said as well December to March. So we're going to be very, very prudent with the expense.  Now if we are able to see the development of a pipeline for VVO, we want to make sure we've invested to be able to capture that growth. If we introduce next year -- whatever -- another product, we want to make sure we're in position to be able to grow the business with that product as well. We're more focused on how do we get more base hits and doubles than hitting home runs like REG or like the Navy. We want to incrementally drive grid revenue and we want to grow this business through the grid business. Does that help give you more clarity on the strategy? 
Carter Driscoll: Absolutely. And I think a lot of people have historically thought of you as more of a wind opportunity than grid opportunity. That's clearly not the picture you're trying to communicate today and I think a lot of people maybe misunderstand the opportunity and the investment you've made within this. Even with VVO, I mean, you have done -- using D-VAR has traditionally been for renewable interconnection, more focus on the wind side, but this is equally applicable to utility scale solar as well, and I think people [indiscernible] that opportunity. 
Daniel McGahn: And I think one of the comments that I made is that, if we look year-to-year, the grid business has grown every quarter for the past 8 years or so. And I don't know if the people are seeing that. I understand Phil's lead-off question with larger wind because it is investment that's there, markets that are turning, and we will take advantage of those as they come to us. But we are being very purposeful about investing in grid because we want to get to the point where the wind business is a smaller fraction of our total business, but the overall business is greater. How do you do that? Right? You don't do that by overinvesting in wind. You don't do that by overinvesting in Inox. We want to invest with Inox as they grow. I think we've had a great relationship with them to date, and we're very confident -- comfortable this relationship is going to continue for the future and we're going to invest with them as they need. And we're going to invest with the Navy as they need product. But we need to make sure that we grow the grid business, so that, you know, years from now, you're looking at this as a very stable, healthy sustainable business that's generating cash. And that's what we're trying to build. That's -- we've spent years putting all this in the place. We're seeing the beginning of the fruits of that labor. Now we're reporting for this quarter, Dave has hinted at what the guidance is for next quarter. Looks like it's going to be good for next quarter as well. We want to keep this beat to the business and keep things rolling. 
Carter Driscoll: Just really quickly then I'll get back in queue. In the discussions with the utilities, are you hearing any feedback that they are anticipating and/or expecting any type of infrastructure bill out of the new administration to incrementally drive business or is it really the changes, obviously, at the distribution level most clearly that have been in place over a number of years as renewable penetration is increased. 
Daniel McGahn: I think it's easier to talk about the distribution part, simply because it's a trend that's been established over the past couple of years. I think it's still a little too early to tell what the change in policy within the U.S., what that's going to mean. It looks like there is an infrastructure play here. It looks like grid is one of the 50 things that -- on the infrastructure side that the administration wants the country to invest in. It seems like and this is beneficial to us. It seems like this administration wants to do more to change the rules to allow investment in innovation, particularly in infrastructure, rather than just to subsidize directly. And I think that's better for our shareholders. The closer we're taking to real viable commercial contracts with utilities on commercial terms, the more you guys can feel very comforted that we really have a viable business for these products and that's what I hope that we continue to deliver on here. 
Operator: [Operator Instructions] Amit Dayal with Rodman & Renshaw. 
Amit Dayal: Just continuing on the previous line of questions. And, I guess, it looks like, and I appreciate the color today on the emphasis on the grid side of the business. Could you sort of give us sort of a timeframe for when grid and Navy combined could start exceeding wind? Is 2018 fiscal sort of too optimistic on our side? Or do you think that's [indiscernible] 
Daniel McGahn: I didn't hear what you said, 2014, I think that's too optimistic. 
Amit Dayal: 2018. 
Daniel McGahn: '18. Okay. I really can't tell the future. I don't have a very good crystal ball. I know if we focus on the fundamentals of this business, we're going to grow it and that growth and the changing in the financial results are going to translate into shareholder value. That's what we're trying to do. We're going to prognosticate 1 quarter at a time. I think we've been pretty good at doing that. We want to be in position where potentially if 2018 winds up being that year, we want to be there and we want to be there in spades. 
 If it takes longer than that, we want to make sure that we continue to honor our mindset that we only want to invest for future growth and that's the position that we're in today and that's the position we want to remain in. 
Amit Dayal: Understood. In regards to the guidance for the next quarter, $22 million to $26 million, could you break that down for us in terms of how much we should expect from wind versus grid? 
David Henry: I would say, our current view is that wind revenues will be relatively in line with the revenues you saw for this quarter with the rest coming from grid. So that would be my take on what you should expect. 
Amit Dayal: Understood. And the beta version for this SPS product that was -- I think in the last quarter you mentioned you would be shipping by March, but it looks like that has been pushed out. Any color on that? 
Daniel McGahn: Yes, we felt like we were going to be able to deliver in March.  So the customer has informed us as they don't really need it until the first quarter, so the June quarter. We take those comments from customers very seriously, so we want to make sure that we deliver when customers need things. And if that changes, our business in the short term, so be it. So we want to make sure we deliver on what the customer needs when they need it. And that's why you're right, we pushed that out a month or so here into the next quarter. 
Amit Dayal: Understood. And just a final question on the SG&A side. I think you guys are doing a good job in terms of bringing these costs down. From a modeling point of view, should we at least for the near term project operating expenses at current levels? 
David Henry: Yes, I mentioned specifically in the call that we expect operating expenses to increase quarter-on-quarter due to higher operating spending or operating expenses primarily for product development activities. But I wouldn't say and wouldn't model those substantially just to kind of damper it a little bit. 
 We're not trying to go crazy here spending money. We want to do it very tactically and very surgically because we want to ensure that we have the top line growth coming. We don't want to overspend or prematurely spend. 
Operator: And we'll now hear from Jeff Osborne with Cowen and Company. 
Jeffrey Osborne: Just two quick ones. One on the performance bonds. I know it's been asked a lot, but I just want to be clear, each potential contract would have a bond associated with it and there's no covenants in terms of minimum cash balance that might then exclude a need for a bond? 
Daniel McGahn: We'll see what the terms look like when we get it. It could be none of those. It could be all of those. When we announce a contract in the future, we certainly want to be clear what the restrictions on the business are. We want to be in position to take those orders. We want to be in position to grow it. We believe, at least in the discussions that we've had with some of the earlier cities, that we would have to restrict capital to be able to go forward with contracts. And let us continue to work on that, let's get a contract behind us and then we can describe what's in that contract, and then we can describe what we think it means for the future. 
Jeffrey Osborne: Makes sense. And then, just for you Dave. Can you just remind us on the Inox receivables and the terms and letters of credit, just they reported on Friday and can continue to have a bit of a challenging time with the balance sheet there. So I just wanted -- you obviously have some comfort here in the upcoming quarter about strength there, but I just want to get a sense -- a reminder of what the policies are in place about getting paid? 
David Henry: Inox, I looked at their results as well. I was actually encouraged by their receivables. They grew their revenue, but their receivables stayed flat. So they're collecting something. So from that standpoint, I was encouraged by what they did. Turning to us, anything that we sell, specifically as it relates to Inox, we do so under a letter of credit. So those terms are in place and they're done with reputable banks in India. And so as a result of that, we know that when we ship something, we will have collection assured. And that -- you see that in our receivables. Our DSO for the third quarter, by my calculation, was around 47 days, which is -- that's for the total company. That's -- I think that's a pretty good DSO in relation to probably other companies that you cover. So we use letters of credit and we know that when we sell specifically with Inox that our collectibility is going to be assured. 
Jeffrey Osborne: Good to hear. And the last one. Can you just -- as you feel more comfortable with the balance sheet there, which has been an issue or obstacle in the past quarters. Can you just remind us of what you expect for the typical wind seasonality? You mentioned that the upcoming quarter would be strong seasonally, but how should we think about the summer months? 
Daniel McGahn: We don't know yet. We'll talk about that, I think, as we get to the next call. You can look historically as what we've done. The first quarter, the June quarter, is typically much lighter for India and for Inox overall. And that certainly has -- it sets challenges on our business. We tend to have a stronger December and a stronger March on the wind side. So I think if you look at the plot of those numbers historically, I think the past in this case will help provide some future insight as well. 
 And I think, with that, we are out of time for questions. 
Operator: Thank you. 
Daniel McGahn: Katherine, I'll wrap up and then we'll terminate the call. I think the good news that we see in the business is that the level of cash that we had in September versus December is about the same. That's great. I think the level of cash as we look at December going into March, we're hinting at, it is going to be about the same. So the business has gotten to a point of stability with this product lineup. We see Inox very strong here in the second half. We were able to get through a challenging first half with them. We look at D-VAR year-to-year. We're going to deliver on growth in that part of the business. We mentioned a lot of progress prior to contracts for REG and for SPS. We look forward in the future. You guys always ask me about what to look out for. Look out for future contracts coming. That's what we're working on. It's very hard to predict when they're going to come. But that's the effort and that's what we're focused on, and kind of new to everybody today is VVO and the idea this company developing and delivering new solutions for the distribution grid. That's what it's going to become more and more about going forward. So thank you for your time. And we look forward to talking to you again as we report our March results for the year. Thank you, everybody. 
Operator: Again, ladies and gentlemen, that does conclude today's conference. Thank you, all again, for your participation.